Operator: 
Severin White: Good morning, everyone, and welcome to DigitalBridge's Third Quarter 2025 Conference Call. Speaking on the call today from the company is Marc Ganzi, our CEO; and Tom Mayrhofer, our CFO. I'll quickly cover the safe harbor. Some of the statements that we make regarding our business operations and financial performance may be considered forward-looking, and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. All information discussed on this call is as of today, October 30, 2025, and DigitalBridge does not intend and undertakes no duty to update it for future events or circumstances. For information, please refer to the risk factors discussed in our most recent Form 10-K filed with the SEC for the year ending December 31, 2024, and our Form 10-Q to be filed with the SEC for the quarter ending September 30, 2025. With that, let's get started. I'll turn the call over to Marc Ganzi, our CEO. Marc?
Marc Ganzi: Thanks, Severin, and welcome, everyone, to our third quarter 2025 business update. We appreciate you joining us on the call and look forward to answering your questions. Let's get to the quarter. This quarter really exemplifies what we've been building towards at DigitalBridge from our near-term financial goals to our longer-term strategic priorities. Let's get started with the key highlights that align with our strategic road map. First, financial performance. DigitalBridge delivered another quarter of robust growth with fee revenues reaching $94 million, up 22% year-over-year. Our fee-related earnings grew 43% to $37 million in the third quarter, reflected continued margin improvement as revenue growth continues to outpace expenses. Second, capital formation. We raised $1.6 billion in new capital during the quarter, bringing our year-to-date to $4.1 billion. Look, we're well positioned thinking through the fourth quarter here as we remain on track to meet our full-year objectives. As most of you know, the fourth quarter is historically our strongest quarter. Finally, and this is the most important story of the quarter, the relevance and strategic value of our power bank was on full display. We saw record data center leasing activity across our portfolio that will build and accrue significant value for you, our investors, over time. Our portfolio company, Vantage Data Centers announced the Frontier mega campus in Texas, a $25 billion, 1.4 gigawatt development, serving the leading AI infrastructure build-out. This was followed up by a second campus, dubbed Lighthouse in Wisconsin, a $15 billion-plus development to support the expanding OpenAI and Oracle Stargate project. These landmark transactions demonstrate that our years of securing power across the portfolio are now translating into the largest leasing commitments in data center history. I talked about it last quarter, having a power bank that is ready to go for our customers is a comparative advantage. Let me put this quarter's performance in a broader context. Continued financial performance and capital formation that advances us towards exceeding our full-year objectives. What makes this quarter truly distinctive is how our strategic positioning around power is creating differentiated outcomes at the portfolio level. For years, we've talked about the importance of power as the critical constraint in the AI era. Today, we're seeing that thesis play out in real time, and DigitalBridge is leading on the front. As I referenced, year-to-date capital formation of $4.1 billion positions the firm to surpass our financial targets. We achieved our $40 billion FEEUM target 1 quarter ahead of schedule, reaching $40.7 billion as of the third quarter. This milestone that reflects both the strength of demand for digital infrastructure and the execution capabilities of the DigitalBridge global platform. The record FEEUM today translates directly into revenue and earnings growth. We're seeing particularly robust activity in co-invest, where third quarter fee rates continue to expand relative to historic levels, up to 70 basis points in Q3. I talked about this earlier this year in multiple quarters. We're very focused on expanding margins in our co-investment program, and we're getting it done. That's the key. We're executing. We're finalizing our flagship strategy capital formation, targeting over $7 billion in the next few weeks as we head into the end of the year, our focus has pivoted to the second credit strategy and our new offerings in power, stabilized data centers and private wealth that will drive our 2026 capital formation. Having a new product pipeline that sets you up for success is really what it's about in terms of being an alternative asset manager where we have a multi-strategy platform. This is the full effect of DigitalBridge as a full alternative asset manager. This is on display for all of our investors as we push forward into 2026. Next slide, please. Now I want to talk about a key component of our private wealth strategy, the partnership we announced with Franklin Templeton in the third quarter to launch our first programmatic private wealth distribution channel. At its heart, the partnership is about democratizing access to institutional quality, differentiated digital and energy infrastructure investments that were previously reserved for institutions. Franklin Templeton is a $1.6 trillion global investment leader and their CEO, Jenny Johnson, has prioritized this initiative as growing alternative investment portfolios. Importantly, Franklin Templeton are building a diversified open-ended infrastructure solution that will have the ability to invest across all infrastructure subsectors. They intend to compete head on with the mainstream supermarket asset managers. On our side, we're bringing our $100 billion-plus in assets under management and our position as the leading digital infrastructure specialist across data centers, cell towers, fiber networks, digital energy and edge infrastructure. We're partnering with our friends at Copenhagen Infrastructure Partner, the world's largest dedicated greenfield energy fund manager with $37 billion in AUM and Actis backed by our friends at General Atlantic with their deep sustainable infrastructure expertise. For their part, Franklin will focus their accredited investor product on the mass affluent segment in the market, a difficult segment to access without significant investment in sales infrastructure. They have a sales force of over 600 people, giving them strong distribution capabilities and reach. The strategic rationale here is compelling. Together, we're focused on a massive investment opportunity. There's a $94 trillion global infrastructure need by 2040. We're positioned at a pivotal inflection point as AI, electrification and connectivity megatrends accelerate infrastructure demand. Now, why does this matter for you, our DigitalBridge shareholders? Look, first, the 3 reasons: One, evergreen capital. This is an incremental source of capital and FEEUM that layers over time in a long-duration structure. Second, it's an earnings contributor. Fee revenues convert to fee-related earnings as the platform scales. Then third, earlier carrier realization. The potential private wealth carry is paid as accrued earlier than our traditional institutional structure. This partnership launches exactly at the right time, and it supports our strategy of building a multichannel approach to wealth sales. It enables us to reach multiple client segments across the broader wealth universe. There is a secular migration of wealth management allocations to private infrastructure. This is happening. The institutional quality solutions were designed are meant to provide stable, inflation-linked cash flows with resilience through economic cycles. We're capturing what we believe is a massive opportunity and Franklin Templeton gives us distribution platform and private wealth client access to do it at scale. That's the key component that we're doing this at scale. Next slide, please. Let me bring this all together with what I believe is the defining characteristic of the DigitalBridge portfolio today, our power bank. To be credible and to be honest with our customers today, if you don't have a power bank, you really can't have a conversation in terms of leasing megawatts and gigawatts. Last quarter, I highlighted this. We have over 20 gigawatts of total secured power across our data center portfolio. That's not a projection. That's actual power that we can access. That's critical to understand that, that this is not a book dividend or something that we're trying to accomplish. This is power that exists inside of existing land, existing facilities, existing campuses with our 11 existing platforms. In the third quarter, we put that power bank to work and leased a record 2.6 gigawatts across the DigitalBridge portfolio. To put that in perspective, that represents 1/3 of total record U.S. hyperscale leasing for the quarter. 1/3. That's not market share. That's market dominance in the most important segment of the data center industry today. Here's what it means in practical terms. When the world's largest technology companies need to deploy AI infrastructure at scale, they come to our portfolio companies. They come because the portfolio companies have a long track record of delivering for them and because they've got the power. In today's environment, power is everything. You cannot build a 1 gigawatt AI campus without 1 gigawatt of power. It's just that simple. Ultimately, the 2.6 gigawatts of third quarter leasing translates directly into new capital formation, fee revenues and carried interest and long-term value creation. These are decade-plus contracts with investment-grade counterparties. The revenue visibility is exceptional, and the returns are improving relative to what we underwrote when the power was originally sourced. As you think about DigitalBridge's positioning today, think about it this way. One, we have the power; two, we have the platforms; three, we have the customer relationships; and four, we are executing. That combination is creating outcomes that very few firms in the world can deliver. I would argue we are actually the only firm that can deliver it on a global basis, and we're only in the early innings of this cycle. I cannot be more excited about this development. Again, this has been set up. This has been our conversation with you, our investors, for the last 3 quarters. How would we translate this 20-plus gigawatt power bank into comparative advantage? This is as easy as you can see it for investors today. We have the capability, we have the advantage, and we're executing. Next slide, please. Now let me put the power bank into broader context of what we're building across the entire DigitalBridge portfolio. Look, across our 11 data center platforms, we're deploying significant capital to support the growth of the AI ecosystem on a truly global scale, catalyzing development from hyperscale to private cloud to the edge, spanning North America, Europe, Asia Pacific and Latin America. The key to this is it's a customer-driven investment model following the logos where the hyperscale, enterprise and cloud customers are demanding capacity. In North America, Switch, Vantage, DataBank and Expedient are each scaling to meet differentiated customer segments from the largest hyperscale AI workloads to enterprise edge computing. In Europe, Vantage EMEA and Yondr, our newest platform, is building out critical capacity across multiple markets. Vantage Asia Pac and AMES are positioning us for rapid growth in Asia Pacific, while Scala continues to lead in Latin America, and AtlasEdge is capturing the emerging opportunities at the intersection of connectivity and compute in Europe where inferencing will come into full focus in the next decade. We have the products for every type of workload. We have the products for every type of workload in every geography. This is by far the most unique and differentiated data center platform in the world. What makes this powerful is the diversity and complementary of these platforms. We're not a one-product shop. We have the right platform for hyperscale GPU compute, for private cloud workloads, for enterprise colocation, edge infrastructure, and of course, now we move to inferencing. That breadth means we can serve the full spectrum of AI infrastructure demand. It means our customer relationships deepen as their core requirements evolve. That's what I love. I love evolving with customers. Just like we did 30 years ago when we evolved the towers from analog to digital into multiple different technologies over the last few decades. We're capturing that same business model with our customers today in data centers. The capital we're deploying across these platforms is measured in tens of billions of dollars over the next several years. It's directly tied to contracted customer demand and secured power positions. This is DigitalBridge's competitive advantage at scale, a global platform with local expertise backed by institutional capital following customer demand and enabled by our market-leading power bank. With that exciting overview, let me turn over the call to Tom to walk you through the financial details, and I'll come back later to wrap it up. Tom?
Thomas Mayrhofer: Thanks, Marc, and good morning, everyone. As a quick reminder, the full earnings presentation is available within the Shareholders section of our website. As Marc discussed, we had an exceptionally strong third quarter, supported by continued capital formation in our flagship fund series, which generates high-margin catch-up fees. Throughout my remarks, I'll highlight the impact of these catch-up fees in order to provide a baseline for our prospective performance once we complete the fundraise for our current flagship funds in the fourth quarter. Starting with the financial highlights. In the third quarter, we recorded $93 million of fee revenue, representing an increase of 22% over the third quarter of 2024. Our fee revenue this quarter benefited from the cumulative effect of organic growth in our flagship fund series and co-investments over the last 12 months with a $8 million contribution from catch-up fees in the third quarter. This growth in fee revenue resulted in $37 million of FRE in the quarter, an increase of 43% over Q3 of last year and putting us on track to hit or potentially exceed the top end of the range for our 2025 full-year FRE guidance. Excluding catch-up fees, FRE for the quarter would have been $29 million, an increase of 36% year-over-year. Growth in FRE resulted in distributable earnings of $22 million for the quarter, representing a double year-over-year. As of quarter end, our available corporate cash was $173 million, providing material liquidity and flexibility for us as we continue to evaluate both our capital structure and opportunities to invest in and grow our business. We also currently hold $54 million of warehouse investments on our balance sheet to support the launch of new power and private wealth strategies, which we expect to recycle over the next year as we raise third-party capital for these products. Moving to the next page. Fee-earning equity under management increased to $40.7 billion as of September 30, representing a 19% increase from last year. This growth is primarily driven by capital formation in the DBP series and co-investments as well as fees activated upon deployment of previously raised capital. We closed $1.6 billion in new fee earning commitments during the quarter, led by strong co-investment activity and new commitments to our latest DBP flagship fund. Turning to the next page, which summarizes our non-GAAP financial results. As mentioned earlier, we reported $93 million of fee revenue in the quarter, representing growth of 22% over the same quarter in the prior year. Our LTM FRE margin was 38% as of the third quarter. We expect FRE margins to remain elevated through the final close of our flagship fund in the fourth quarter of 2025, supported by the continued contribution from catch-up fees. Moving to the next page, which summarizes our carried interest and principal investment income. We reported a $20 million reversal of carried interest during the quarter. As a reminder, the company accrues carried interest based on quarterly changes in the fair value of our fund investments. As discussed previously, many of our vehicles are in the early to middle stages of their life cycle and have not fully worked their way through the J curve to be entirely clear of the preferred return. At this point in their life cycle, small changes in the fair value of the fund assets can have an outsized impact on the quarterly accrued carried interest that we report, including causing reversals as we've seen this quarter in periods when the appreciation in the portfolio does not exceed the preferred return hurdle for the quarter. As we've discussed in prior quarters, carried interest compensation expense tracks these changes, and therefore, there was a commensurate reversal of a portion of the unrealized carried interest compensation this quarter. Principal investment income, which represents the mark-to-market on the company's GP investments in our various funds was $25 million. Turning to the next page. This chart continues to highlight the stability and consistency in growth, both in revenues and margin that we've experienced over the last 2 years. We've included this quarter FRE metrics, both gross and net of catch-up fees, given the more meaningful contribution from catch-up fees this year as we close out the fundraising period for our most recent DBP fund. LTM margin, excluding catch-up fees, has grown to 33% as of September 30. This quarter, we saw $1.1 billion of FEEUM inflows, a significant portion of which was related to the activation of fees on previously raised co-investment capital. These inflows were partially offset by approximately $100 million of outflows. Finally, the company continues to maintain a strong balance sheet with approximately $1.7 billion of corporate assets, largely reflecting our material investments alongside our limited partners and available corporate cash. We're pleased with our results through the first 3 quarters of the year, and we're very excited about the opportunity set that we see ahead of us, both in our core business and some of the new initiatives that we're working on. With that, I'll turn the call back over to Marc.
Marc Ganzi: Thanks, Tom. Now I want to shift gears and talk about our investment activity and how we're creating value at our portfolio companies. As a reminder of the framework we outlined last quarter, our competitive advantage is built on a 3-decade operational framework that delivers repeatable value creation. The DigitalBridge development model has 3 phases. Phase 1, we establish platforms. We back great CEOs. We build great companies. We identify and acquire the right platform and the team to capitalize on unique digital infrastructure opportunities. This is about pairing capital and operating expertise with the right strategic business plan around both greenfield development and strategic M&A. You've heard me call it before, this is the build and buy. We move to the second phase, which is about transforming and scaling. Once we have that platform, we have the right team, we execute operational transformation to improve margins, grow the business and scale it efficiently. Then Phase 3, follow the logos. This is our customer-driven investment framework. We allocate capital and resources to support network growth where our customers are demanding that capacity. We don't build data centers or cell towers or fiber networks on spec, never have. Haven't done it in 32 years, we wouldn't start now. We follow the logos. We go to where Microsoft or Oracle, any of the hyperscalers are telling us they need capacity, and we show up for them with strong intention and execution. This framework has delivered repeatable value creation for 3 decades, and it's what's driving the results you're seeing at Vantage, DataBank Switch and our other platforms today. We've been applying this playbook consistently, and it works. It's worked for a long time now. Let me take you through several new initiatives and transactions that demonstrate this model in action. Next slide, please. In September, we announced that GIC and ADIA, both existing Vantage partners are investing $1.6 billion to scale Vantage Asia Pacific platform to 1 gigawatt of capacity. This investment supports the Johor Campus acquisition and broader regional expansion across 5 markets. Let me unpack that for you and why it really matters. Singapore used to be a traditional data center hub in Southeast Asia, but land, power and regulatory constraints have led to a moratorium at one point. That leads to limited growth. Now, along comes Johor, just across the border in Malaysia has emerged as a natural overflow market, much like we executed that strategy in Reno, Nevada when it became clear to us that Santa Clara had the same type of issues. It offers lower cost, proximity to Singapore, less than 1 millisecond and dark fiber connectivity to the Singapore hub. From a customer's perspective, it functions almost like an extension of Singapore, but with better economics and available power. This sounds really familiar, doesn't it? This is exactly what we did with Switch and Reno, where we have today over 1.8 gigawatts of compute available for our customers in Reno. We're running that same playbook here in Johor. The APAC data center market is growing at double-digit growth rates and is expected to reach $77 billion by 2030. 72% of organizations tie their data strategy directly to AI initiatives, which means the demand for data center capacity in the region is only going to accelerate. Again, using the same playbook, we brought in new leadership last year to position the region for growth. Jeremy Deutsch joined as the President of APAC in October 2024. He previously served as the President of APAC at Equinix, an organization that we have a lot of respect for with over 20 years of operating experience. He expanded Equinix into 5 countries during his tenure and was the inaugural Chair of the Asia Pacific Data Center Association. Jeremy is exactly the kind of world-class operator I love partnering with, and I'm looking forward to building this platform with him. He's doing a great job for us. The strategic growth drivers here are clear. Singapore spillover demand creates a natural customer base. AI fuel demand is accelerating across the region. We're positioned with the right platform, the right leadership, the right capital partners in GIC and ADIA. The investment is expected to close in the fourth quarter of 2025, and it represents another example of how we're following the logos in the key markets, not only in Johor, but of course, Kuala Lumpur, Melbourne, Sydney, Osaka. These are the growth markets for AI in Asia. Our hyperscale customers are telling us they need capacity in the region, and we're getting ready to set to deliver to that at scale. Next slide, please. Let me talk about 2 landmark developments that demonstrate the power of our strategic positioning, Vantage's Frontier and Lighthouse mega campuses representing a combined $40 billion investment and over 2.4 gigawatts of GPU compute capacity. What you're seeing here in DigitalBridge backing the build-out of an entirely new generation of compute infrastructure. The AI revolution requires fundamentally different infrastructure than what the cloud demanded. Higher power density, different cooling technologies and most importantly, access to power at giga scale. These campuses represent our response to that transformation. Both are long-term contracted, pre-leased facilities, not speculative development. We have long-term commitments from Oracle, OpenAI and leading cloud providers. The revenue visibility is exceptional. The returns are attractive, and the strategic importance to our customers is undeniable. This is DigitalBridge enabling the infrastructure backbone for the most advanced AI workloads in the world. Frontier is in Texas, $25 billion across 1,200 acres in Shackelford County, delivering 1.4 gigawatts of ultra-high-density racks supporting 250 kilowatts and above. Lighthouse up North in Wisconsin represents $15 billion delivering 1 gigawatt with potential for more with the Stargate program distinguished by the development of new renewable capacity, the largest behind-the-meter renewable commitment in the United States today. Together, these projects create over 9,000 jobs, represents billions in regional economic impact, but more importantly, to our investors, they demonstrate that DigitalBridge has the capital, the expertise, the customer relationships and the power positions to support infrastructure development at scale that very few platforms in the world can match. Construction is underway with the first deliverables beginning in the second half of 2026. These are mission-critical facilities for some of the most important AI initiatives in the world. They validate our thesis that controlling power and backing world-class operators creates differentiation and creates value in the AI area. We're very excited about these 2 developments, and it really catalyzes a lot of hard work. Congratulations to Sureel and the team at Vantage. Next slide, please. What do Frontier and Lighthouse mean for DigitalBridge shareholders? Well, let me spell it out because this is where the value creation happens. First, higher fee co-invest. The attractive development economics of these projects enabled us to raise additional co-invest capital at advantaged fee rates. We're deploying and activating that co-invest capital as FEEUM over the next 2-plus years, which means growing fee streams for the projects and for you, our shareholders. Second, carried interest generation. We're expected to create significant value through carried interest as these developments stabilize over the next 3 to 5 years. Think about the math. We're investing in these projects at development yields. They're going to stabilize at much higher valuation and appreciation flows as carried interest to DBRG and our shareholders over the next few years. Third, developing our LP base. These projects position our platform to attract institutional capital, specifically targeting AI infrastructure exposure. This broadens our LP base beyond traditional infrastructure allocators to include technology-focused investors, sovereign wealth funds focused on AI and other pools of capital that are specifically interested in the sector that have not yet entered. Now let me talk about the key strategic considerations because that's what creates our competitive advantage. First, scale advantage. Operating at gigawatt scale generates structural advantages, superior unit economics, access to constrained power and exclusive positioning for multi-gigawatt hyperscale requirements. Our customers cannot get this kind of scale from anybody else. Second, premium workloads. These campuses are built for the most advanced AI applications. That means higher average pricing in investment-grade hyperscale counterparties. This is the best risk-adjusted business you can do in real estate today. Third, power differentiation. Distributed power delivery at scale is our critical advantage. Frontier represents the largest behind-the-meter power development in the United States today. That didn't happen by accident. That happened because we've been working on power for years. We talked about in our last earnings call, the power of our partnership with ArcLight, our digital power strategy and what we're doing to ultimately put power back into the grid and baseload. Together, these $40 billion developments represent watershed investments for Vantage and for DigitalBridge. They deliver unprecedented scale for the build-out of cornerstone AI hubs, serving hyperscale demand, and they demonstrate better than anything I could say in a prepared remark about our power bank strategy is working. I don't need to talk about it. This is the evidence. This is on display. Next slide, please. Let me close by putting it all together. In terms of our context for our 2025 priorities and where we stand heading into the final quarter of the year. What we delivered year-to-date, we're achieving organic growth with management revenue and fee-related earnings both up 20% year-over-year, even excluding the impact of catch-up fees. We achieved our FEEUM target 1 quarter early, exceeding our 2025 target in the third quarter, and we're tracking to meet or exceed our 2025 metrics on FRE and margins. We launched new investment strategies and channels, specifically our programmatic private wealth strategy, Franklin Templeton. We've continued to maintain a strong balance sheet and liquidity with over $170 million in corporate cash and a growing asset base. We've delivered breakthrough record leasing across our global data center portfolio with 2.6 gigawatts in the third quarter and $40 billion in new development contracted. Looking ahead to our year-end priorities for the fourth quarter. Again, we're focused on delivering and exceeding our 2025 financial metrics with FRE achieving or exceeding our guidance. We're formally launching our new digital Energy and stabilized data center strategies, and we're working to secure initial anchor commitments for one or both. We're building on our early private wealth momentum with targeted asset-specific investment opportunities, and we continue to evaluate strategic accretive M&A opportunities centered on adjacent asset managers. Let me wrap it up with the final thoughts before we go into Q&A. This has been an exceptional quarter for DigitalBridge. What a change a year makes from where we were a year ago in terms of our inability to meet our guidance to where we are today, which is, to be honest, a little bit on the front foot versus our back foot. Yes, we delivered the strong financial results, but this is beyond the numbers. You have to look through what we're doing here. The quarter really proves out my strategic positioning around power and AI infrastructure and what it's doing is it's creating real substantial differentiated value for our portfolio, their customers and our investor base. Advantage announcements, Frontier and Lighthouse represent over $40 billion of committed developments. These are not speculative projects. These are contracted pre-lease facilities with the world's leading technology companies. They're generating fee streams today. They'll generate carried interest tomorrow, and they will demonstrate that we are having and we've created capabilities that cannot be replicated. The Franklin Templeton partnership opens up a new distribution channel to Evergreen Capital. The APAC investment positions us to be one of the fastest-growing global data center markets where we can grow in Asia Pacific with our key customers. Look, I've been in this business for 3 decades, and I've seen -- and I've never seen a more compelling structural advantage than controlling power in the AI era. The demand is massive. The supply is constrained, and we're positioned better than anyone in the world to capitalize on this dynamic. The value that will accrue to our shareholders from this positioning over the next 5 to 10 years will be substantial. I want to preface this by saying, we're literally in the early innings. Let's wrap it up. Super simple quarter, strong financial performance, record leasing driven by our power bank advantage, continued capital formation momentum, strategic expansion of our distribution channels and a clear path to delivering on our long-term value objectives. We're executing our plan. I'm excited about what's ahead, and I look forward to updating you on our continued progress. With that, let's open up the line for questions. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Michael Elias with TD Cowen.
Michael Elias: Congrats to you and the team, including Surrel on the massive leasing in the quarter. Great job. In the past, Marc, you've talked about $1.55 a share in carried interest for every gigawatt of data center leasing. Can you just help us understand when in the life cycle of the data center, that unrealized carried interest is recognized? Is it when it's leased? Or is it when it's delivered? Then also, I'm seeing more of these gigawatt scale deals on the market. I'm curious, as you think of your power bank, how would you describe your ability to take on more of these massive projects?
Marc Ganzi: Yes. Michael, thank you. Let's start with the last part of your question, then we'll come around to the front part. These gigawatt projects are really tough, Michael. I don't think you're going to see tons and tons of them going forward. I think you're going to see more workloads kind of in that 350 to 800 megawatt more bespoke, a bit more tailored. I think building these 1-plus gigawatt campuses are really, really tough. I think it's tough from a capital formation perspective. I think it's tough from a resource perspective. I think a lot of the big gigawatt campuses for LLMs are being delivered now and will be delivered over the next 3 to 5 years. Because remember, these things take about 24 to 48 months to fully build them. What we are seeing an uptake in is in across all of our portfolio is this what I would call kind of 250-megawatt to sort of 500-megawatt workloads. Our sales funnel has gotten a lot bigger in this quarter. We have over a 7 gigawatt sales funnel right now. When you deliver -- when you lease 2.6 gigawatts in a quarter and your sales funnel grows by 7, you obviously -- you can start putting that math together that there's a lot of big chunky deals sitting in the pipeline. Our pipeline has gotten bigger. We delivered over 1/3 of the leasing for the industry in terms of actual power delivered against our power bank, what was actually delivered by the industry, we probably delivered about 50% of actual delivered capacity in the quarter. These metrics are important because we keep talking about the power bank and that 21 gigawatts of power. Leasing another 2.6 gig, delivering another 2, I mean, this is hard to do. Again, when you start -- we started over 10 years ago doing this. We've been able to really keep our pipeline moving and keep our delivery schedules moving, and that's what's giving us massive comparative advantage. I think you'll see other really good quarters from us from a leasing perspective. I just think you're going to see more distributed compute. As we move to inferencing, I think you're going to see -- then you're going to see a whole generation of deals that are going to get done in that kind of 20 to 200-megawatt range, which will be in the sort of secondary markets, which follows what happened in public cloud. Inferencing will really kick in, in kind of '27 through 2032 as we're still building kind of big LLMs. Nothing kind of slows down. Actually, this quarter, we saw acceleration. Kind of the third time I've told you this year, just when everyone thinks maybe there's a bit of a breather, we're not getting a breather, largely because we have this enormous power bank at these 11 portfolio companies that allows us to keep going. For example, later last year, earlier this year, we were talking about some of the big deals that Switch was doing. Now we're talking about some of the big deals that Vantage is doing. Next quarter, maybe we're talking about DataBank or Yondr or Scholops. We don't rely on one platform. I think that's what makes us pretty unique and why investors need to own our stock is really simple because you don't have to hang your hat on one story. There's a great -- look, we have enormous respect for DLR and Equinix. They are great businesses, but those are -- you're relying on one management team and you're relying on one pipeline. When you buy our shares, you got 11 teams Chris crossing the globe, focused on different types of workloads, different types of customer requirements and most importantly, different designs in different locations. I like our bets when you play it with 11 guys on the field versus 1, it kind of gives you a really big leg up. That's why when you're looking at this 21 gigawatts and the 2.6 that we delivered, there's nobody even close in AI data centers to DigitalBridge right now. We're playing the game at just a very different speed and at a very different scale. This quarter really manifested that, and it will continue. I think you'll continue to see that out of us. Now to your question around carried interest around the $1.55 per gigawatt, how do you realize that carry? To fully realize that carry takes anywhere from 3 years to 5 years. Some of that carry is accrued when you get the entitlements and you get the power. Some of that carry gets accrued when you sign the lease. Some of that carry gets accrued when you deliver the first data hall. Some of that carry gets accrued when you deliver the final data hall. Then some of that carry -- well, all that carry gets realized if it ends up -- if the data center ends up getting purchased, put into a continuation fund, gets acquired as part of a portfolio deal. Generally speaking, our monetization and our DPI track record in data centers goes back over 4 years ago. We started returning capital back to investors 4, 5 years ago, whether it was our DataBank continuation fund with Swiss Life, whether it was the North American Stabilized Data Center Co, or Valkyrie, the European Stabilized Data Center Co. We've been a consistent returner of capital to our investors, which then triggers carried interest. Now the problem with DataBank and Vantage was those vehicles were outside of our funds and predated the Colony merger. Now as we get these other companies growing up, whether it's Gala, whether it's Switch, whether it's Vantage Asia Pac, these are now vehicles that sit in our funds. As you know, Michael, roughly about 28% of the carry across our fund products sits with public investors. That episodic nature of carried interest as we deliver these new facilities don't accrue just to the management teams, it now starts accruing to public shareholders. All this hard work that we're doing now, we're accruing that carry, we're building it, but ultimately, we anticipate in the next 24 to 36 months to start delivering that carried interest out to our shareholders. In the meantime, the math is holding up. I think that's one of the key things that you could say with a straight face today is the arithmetic that we put in front of investors a year ago in terms of what a megawatt means, what a gigawatt means, that flow-through to investors now is really quite clear.
Operator: Our next question comes from Jade Rahmani with KBW.
Jade Rahmani: What's your overarching view on how the new data center projects achieve a stabilized capitalization given their size? Do you envision they will be owned long term by a combination perhaps of large REITs, infrastructure funds and hyperscalers themselves? It seems like the digital bridge structuring expertise could provide solutions to that eventuality.
Marc Ganzi: Yes. Thanks. Jade, great to hear from you. Look, we announced last quarter the formation of a strategy called the Data Center Income Fund. Now that strategy is in flight, and we're having a lot of great dialogue with a new set of investors, Jade, that are different from our investors that we had before. Remember, in our flagship funds, we're talking to infrastructure allocators. When we're sitting down on the DCIF product, Jade, we're talking to real estate allocators. For example, last week was the PREA conference in Boston, our new Head of Capital formation for the DCIF product, winning Price is up there with Ramel Marseille. We had over 60 meetings with real estate investors. Real estate investors are really eager to get allocation, Jade, to these amazing stabilized data centers that we have a deep pipeline in. We're excited about that because for us, it's an entirely new swim lane of capital. Every year, there's about $3 trillion of capital that's allocated to real estate Jade. That's bigger than the $1.7 trillion that's allocated to infrastructure. If you think about swimming pools, that's actually a bigger swimming pool than we swim in today in terms of general infrastructure. We get kind of excited about that. Real estate allocators today are looking at industrial properties. They're looking at shopping centers. They're looking at downtown office buildings, which, as you know, are kind of -- is a tough asset class. Along comes these 15-year investment-grade data centers, low incremental CapEx going forward. The tenants rarely call you. It's a pretty hands-off real estate product. Most importantly, 95% of the cash flows that we're seeing are investment grade. This is a really hot new development for us. As we've launched that strategy, and we're really delighted to bring Wendy on the team. We've got [ John Diev ] and Jon Mauck help running the strategy. We've got a big team working on it. It's an entirely new opportunity for us, and it's a new set of investors. It's another way that we're growing our FEEUM, that we're growing our FRE and we're growing our AUM at the same time in a discipline that we know incredibly well. We have the advantage. We know all the developers out there. We know all the other GPs that need liquidity, and we're pretty excited about it. I think the key to that is we do have the solution. We do have the team. We have the right pipeline of ideas and product, and we've already identified the right set of investors. Everything is lining up to be really successful, similar to kind of what we've done in digital power, Jade, a very similar type of approach, very focused, very surgical and not competing with what we're doing. As we look to the future, 2026 will be driven by this real estate product, our digital power strategy and private wealth. We've lined up 3 new products for next year. At the same time, as you can see, we'll always be in the market with some sort of co-invest vehicle. Everything is setting up quite well for next year, and we love the product set.
Jade Rahmani: Can you, as a follow-up, give some insight into what fund outflows look like for DBP I, II and InfraBridge perhaps in 2026?
Marc Ganzi: I'm sorry, repeat the question again.
Jade Rahmani: What do fund outflows look like for DBP I, II and InfraBridge? In other words, how much legacy fund runoff should we expect in 2026?
Marc Ganzi: Yes. Thanks, Jade. We don't get into that exactly. We don't give guidance specifically on how we're realizing or monetizing assets. I think as we monetize those assets, we'll report them in our normal cadence. I think, obviously, Fund 1 is starting to near its natural turning point where you begin to think about monetization. We're thinking through that pretty carefully. At the right time and the right speed, we'll do that. Credit is constantly turning over. That turnover is -- loans typically have a 24- to 36-month lifespan. As we're turning over loans and returning capital, we're booking new loans in the second fund and our SMA strategy. InfraBridge continues to do exactly what we think it should do. In due course, we will continue to monetize assets in InfraBridge I. then as we look forward in the coming years, we'll look at InfraBridge II, but again, as we monetize stuff, we'll share that with you in the quarter. All of those fund products are moving at the speed at which you'd expect them to move. We feel good about the speed and the cadence at which we're delivering DPI.
Operator: Our next question comes from Timothy D'Agostino with B. Riley Securities.
Timothy D'Agostino: On the Franklin Templeton strategic partnership, in the deck, you outlined the $15 trillion opportunity through 2024 -- 2040, sorry, with wealth management allocations to private infrastructure. I was wondering if this strategic partnership is sort of a one-time partnership or if we could see more of these down the road?
Marc Ganzi: Sorry, we lost the beginning of what you said. Could you repeat the beginning of your question?
Timothy D'Agostino: Yes, sure. Sorry. With wealth management allocations to private infrastructure estimated at $15 trillion through 2040, I was wondering if the Franklin Templeton strategic partnership is sort of like a one-time thing or if we could see more partnerships like this down the road?
Marc Ganzi: Yes. Look, I mean, for this particular product, alongside of Actis and CIP and it's a strategy that they've launched on their platform. We have other partners in private wealth. We did a fantastic product offering last year with Goldman. It was really successful. It was wildly oversubscribed. We do intend to be on other platforms and have other partnerships. That is something that we'll reveal in due course. We are not exclusive nor limited just to the Franklin Templeton platform. We are working with other allocators, and we agree with your arithmetic. It's a $15 trillion opportunity. It's really big, and there's a lot of great partnerships to be had, and we're excited about it. For right now, we love what we're doing with Jenny and her team. They're fantastic partners. So far, it's been a really successful launch. Great question, and we'll reveal more next year, but right now, my focus is supporting Franklin Templeton and making sure that, that product is wildly successful and oversubscribed.
Timothy D'Agostino: Then as a quick follow-up, could you provide a little bit more color on the Evergreen capital on the long term, on the long duration and then kind of why the structure is so attractive to you all?
Marc Ganzi: Well, look, I think we have both types of structures across our product set. We don't believe that you have to be all permanent capital nor do we believe you have to have 10-, 11-year closed-end funds. Commingled funds work well for certain allocators, particularly pension funds and other types of sovereign wealth funds, they like that because there's a finite end to what they're doing. I think other allocators like the open-ended structure, for example, like real estate investors. That's something they're quite familiar with and private wealth clients. They're very familiar with that structure as well. Our continuation funds, the things that we're doing around the real estate asset class, the stuff we're doing around private wealth tend to be open-ended and be permanent in nature. Then our flagship vehicles tend to be closed-end in nature, along with our digital power strategy. That tends to be a strategy that you would lend itself to being closed end. I think that the great thing about DigitalBridge today is that we're a multi-strat platform. We have multiple strategies really focused on allocators very specifically and then pairing that allocation with the right products, the products that investors want, whether it's a data center platform, a tower platform, a stabilized asset, an energy project that's tethered to the AI economy. These are the things that investors really want today. We have the right products and the right structures, so having that multi-strategy capability is really what differentiates DigitalBridge today.
Operator: Our next question comes from Rick Prentiss with Raymond James.
Ric Prentiss: First, to follow-up on Michael's question a little bit. I mean, Marc, you guys as an all asset manager, but focused on digital infrastructure AI. Good to see you communicate numbers, hit numbers, achieve numbers, maybe exceed numbers. The piece that seems to be missing from the stock price is really recognition of carried interest. You touched on it a little bit to Michael's question, but help us understand the pacing as your portfolio companies now ballpark 50 companies or so, I guess, how should we think about a stable, consistent kind of monetization path into the future to try and get some of this value realized because clearly, AI is hot. power banks are hot, data centers are hot. You're not getting the credit for that. Just trying to think through how do we see that monetization path play out to help the realization of that. I'll come back with a question for Tom on that the bookend impact.
Marc Ganzi: Yes. I'll let Tom handle the bookend piece. I'll just stick the 50,000 feet and then flip it over to him. He gets the hard part. I get to answer the easy part. He's smiling at me right now. Look, I would say, Rick, what I said earlier with Michael, which is it's really important to note that we have certain fund products that have now turned the corner and they're entering into that phase where we begin to monetize. If you go back to a 2019 vintage fund, where we invested that fund in 2020 and 2021, it's logical to assume that realizations begin happening in '26, '27 and '28. That's really where our first flagship fund sits. Then logically, you can start thinking about how we exit some stuff in Fund II. I'm not going to, on a call, speculate which companies are going to have those realizations, but what I can tell you is we're now in a steady cadence where we have certain portfolio companies going through strategic reviews. I think that we believe just by the time line and nature of our original legacy flagship funds, you can begin to see a steady unwinding of those funds and return of capital. Along with that return of capital comes the realization of carried interest. Now, Fund II has a little more carried interest for investors. The third flagship fund has a little more carried interest for our investors. I think as time goes on, you're going to see not only more frequency in carried interest, but you'll see more carried interest. We're going to work on that pretty hard next year. I think that will be one of the differentiators about next year versus this year is that you are going to see more realizations next year than this year. The other thing that I would say is on our data center business across the 11 platforms, we have been Rick, pretty creative around creating DPI and creating carried interest. When you've got great vehicles that are in permanent capital vehicles like DataBank or now Manage North America and some of these -- some of the growth metrics around some of these other businesses, we have to recycle capital, return capital, and when we do that, that also triggers carried interest as well. Data centers is an area where we think we can do quite well. I think stay tuned, but we do believe that Rick, it's reasonable to assume that given the age and vintage of some of these fund products that you can begin to count on carried interest instead of being episodic. I don't know, Tom, if you want to add anything to that.
Thomas Mayrhofer: No. I mean, you really covered it. The only -- I guess the only thing I'd add is sort of on the margins, if you had sort of backed up 4 years ago and projected a bell curve of where we would be distribution-wise, I would say probably over the last few years, there's been a more significant and extraordinary opportunity to continue investing in some of our portfolio companies than maybe you would have thought 4 or 5 years ago. That may have pushed out exits that you -- several years ago would have thought were happening in '25. Maybe we've continued to invest in some of those companies because the opportunity there is extraordinary. I wouldn't add anything different than what Marc said in terms of the bell curve and the vintages.
Ric Prentiss: The way the book works, I think you touched on that in your prepared remarks a little bit about the J curve and where you're at on it because it does confuse people. I think sometimes when they look at the book carrying value, you're not marketing it to market on transactions that are occurring or things in the marketplace. You're literally looking at your asset-by-asset. There some people, I think, look at it and go, well, how can the book doesn't show more? Maybe just elaborate a little bit more on that.
Thomas Mayrhofer: Yes. Look, I think there's sort of 2 main components to the performance and how we mark things. Marc talked a bit about kind of our investment playbook, making sure we make the right investments that we are focused on the customers, deliver for the customers, drive operating performance of the companies. That is one significant contributor to the performance. You've seen some of that to date. Then I would say the second material contributor to performance and accrued carry or realized carry is the exit process and selling the companies well. That's where you capture kind of the second stage of value. I would say, we're sort of in between those 2 kind of step functions right now where we've achieved real value and real performance at the company level. We will capture the second step of value as we create distributions and liquidity and realize the full value of the companies, if that makes sense.
Ric Prentiss: Does. You're not marking to what transactions might be, you're not marking to comps until you actually achieve a sale basically?
Thomas Mayrhofer: Look, if there's -- you think the valuations and performance are 100% quantitative and there's always a bit of qualitative to them. We do our best to mark to where we think -- what we think the asset is worth, but there's always a bit of uncertainty and how much of that will you actually realize in a sale. You're always including some sort of contingency to address that.
Ric Prentiss: Marc, one of the interesting things we saw this quarter was the story that Elon Musk is now following you. Can you give us a little background color? Did that happen? How did it happen? What's your kind of relationship with Elon?
Marc Ganzi: Yes. Thanks, Rick. I don't comment about social media stuff. It's just kind of, unfortunately, it becomes like water cooler banter. What I will say is, I've got a lot of respect for him. Yes, I do know him, not particularly well, but we know each other, and he's an important customer. He's a very important customer. He uses a lot of our different portfolio companies, and we serve Starlink, we serve SpaceX. We serve Tesla, we serve xAI, and we use his batteries at some of our data centers for storage. It's a really super important customer that we think can get bigger over time and that can be a lot more strategic. Anything we can do to work with him and support what he's doing, I'm very supportive of him, and I'm always happy to put capital into his businesses through infrastructure, we're side-by-side with him. A lot of deep respect there, and I think he's one of the great minds of our generation. If he chose to follow me, that's great, but I'm super focused on servicing him and trying to figure out how we can help enable his businesses to go faster.
Operator: Our next question comes from Richard Choe with JPMorgan.
Richard Choe: I know you spent a decent amount of time on it, but I think it's important to kind of go through it a little bit more. With Vantage in these -- the Frontier campus and Lighthouse campuses, these are 2 really big deals. Over the past few months, we've seen a lot of companies come out and say that they have a lot of power and that they have a lot of capacity deliverable, but you've actually won these leases. Can you take us through the process a little bit? What gave DigitalBridge and Vantage the, I guess, advantage over the other companies and winning this deal?
Marc Ganzi: Yes. Look, I think that we continue to believe that this industry will be unfortunately marked by a lot of amateur and a lot of tourists in the next 24 to 36 months. People that do certainly know how to buy land and how to get entitlements and certainly have to reflect that they have some source of power. I think it's a different level up when you actually build a data center and you're responsible for delivering something at a Tier 3, Tier 4, Tier 5 standard and that you've done it for a decade-plus. Customers know the difference between people that are new to the sector and someone that's a trusted set of hands that has over 400 data centers and 11 different companies. Differentiation isn't about press releases. Differentiation is about execution and the ability to show up for a customer and deliver on time. Again, we don't get a lot of credit in our share price for being around for 30-plus years as executors. What we have to do is we have to go out and we have to deliver a quarter like this. We have to deliver a quarter where we clearly demonstrate leasing volumes that are differentiated, a power bank that's differentiated, but most importantly, to the metrics, Richard, that you now know that we're judged on, which is FRE, FEEUM, distributable earnings, AUM, all of the things that we're being judged on. We know who our peer set is now. We're an alternative asset manager. The most important thing that we now need to do is just like we've been executing for customers, we now need to execute for our public shareholders. The framework and the prism that Tom and I are judged on is by other alternative asset managers. When I said in the earnings call, what a difference a year makes, we had a very tough last year third quarter. Tom and I thought long and hard about it. What we tried to do this year was deliver something that is -- that we can -- investors know they can count on us and that we're credible around the numbers that really matter. I think execution is critical. Executing for our public shareholders is critical, executing for our customers like Oracle and OpenAI is important, and we're executing for hundreds of other customers this quarter. We just don't have enough time or pages in a deck, Tom, to sort of share all of those wins for all those customers, but we're delivering dark fiber routes. We're delivering towers. We're delivering small cell infrastructure. We're delivering WiFi offload. There are so many things that we're delivering right now that we don't have time to talk about. We just got to keep delivering for our logos. That's really what is differentiating about us right now. I think at the end of the day, customers not only vote with their wallet, but they vote with their -- the integrity of their network. I think one thing that we've proven to be for a long time is a very trusted set of hands. Hopefully, that will work out well. I think that a few people are actually turning on capacity right now, and we are. We're turning on capacity, and that's because we started planning this 8, 10 years ago. We didn't start -- we didn't say a year ago an investment committee because we thought it was a hot idea to get into data centers. That's not how we're built. We're built differently. We'll be here. We'll be here tomorrow. We'll be here in 10 years. We were here 20 years ago. I think it's that consistency is what customers really like. When it gets down to choosing, having great teams like Sureel, who knows how to deliver for a customer, that's what it is. We're very fortunate to have Surrel and Jeff Tench and Dana Adams, that entire team is just a bunch of pros. Adults that have been there, have been doing it for a long time, and that is, thankfully, Surrel is our partner. We're fortunate to have a great management team that was able to deliver for the customer.
Richard Choe: You mentioned it a little bit, but will these projects be meaningfully contributing to FEEUM early in '26? Or is it more later in '26 and '27?
Marc Ganzi: No, 100%. It will be a big contributor in 2 years. We took in a lot of new capital, co-invest capital specifically to these 2 projects. We get paid on that capital on that committed capital. There will be an immediate impact when you have really good co-invest. Look, Tom said it earlier in the year, we've got to improve our margins. Both Tom and I committed to that. Tom has been working on the cost. I've been working on making sure we get our fees up and co-invest. I think we can look at each other and say we've delivered. Tom has done a great job on the cost side. We've done a great job in improving our margins on co-invest. When you put those 2 things together, you get a result like this in the third quarter, which is improved margins, incredible year-over-year growth, as you can see. I mean, just looking at fee-related earnings, were up 43% year-over-year. I don't think there's another publicly traded alternative asset manager that's up 43% year-over-year. This has been a lot of hard work, and we're not done. I think there's a sharp focus on what we got to keep doing. The fees build as we build. As we keep leasing megawatts and we keep deploying capital, so does our FEEUM raise go up and so does our FRE go up. We're heading into a historically strong fourth quarter. I think Tom and I are excited to continue to work hard between now and the end of the year. I don't know, Tom, if you have any voice over on that.
Thomas Mayrhofer: No, I think you covered it all.
Operator: Our next question comes from Eric Luebchow with Wells Fargo.
Eric Luebchow: Marc, I'm curious about your data center power bank that you've been highlighting in the last few quarters. Maybe you could talk about the split you're seeing between kind of behind-the-meter power solutions versus more direct grid-connected power and perhaps how that behind-the-meter opportunity, which seems to be much bigger today, kind of ties into the size and scope of the energy fund you're fundraising for.
Marc Ganzi: Look, the energy strategy is super important, and it's a big part of what we're doing in the back half of this year, but more importantly, Eric, what we're doing next year. We've already closed a couple of deals in that strategy. Takanock is one of them where we provide digital power solutions for our customers and to other data center developers. We've got another project where we're tethering some -- a specific power solution to an existing DigitalBridge data center where we're adding 500 megawatts of power. What I love about what we're doing in digital power, Eric, is these aren't ideas. These are very, very focused solutions in very specific locations tethered to very specific outcomes for customers. That's what makes it so unique is that a lot like what we're doing in the data center space, we're doing in the power space. We're not taking risk. We're entering into long-term contracts with counterparties, investment-grade counterparties. We know that the offtake is in place. I think what's interesting, Eric, is as we've been doing this for about 2 years, we've also learned that the grid doesn't go away. You have to learn how to use the grid, you got to learn how to work with the grid. You've got to have battery storage capabilities inside your microgrids. You've got to be able to build up that power during the day, sell some of that into the grid, so you're basically an offtaker into the grid and putting power back into the baseload on. Then during the nighttime when baseload is more available, you can buy back from the grid. It's a very fluid relationship in a microgrid. The key to that is interconnection and being interconnected into the -- that state's Public Utility Commission grid and having an active relationship with the utility. What we're doing is not in contrast or in competition with our utility partners in each state. In fact, we are a trading partner with those utilities. A lot of like what we do in interconnection and fiber, we're doing the same thing actually in power. It's a really interesting business model, and we've had a lot of good early success so far. Someone once told me, I think it was -- I was listening to another alternative asset manager, I think it was Brookfield that said it, but there's $7 trillion in AI, there's a $7 trillion CapEx AI spend. If you think about the power that's required, the incremental power to deliver 300 gigawatts, Eric, there's another $1.3 trillion in power to be built. We look at that, again, that swimming pool is $1.3 trillion. We look at the opportunity there, investors are really excited about it. I've been on the road talking about digital power, talking about microgrids and how we're delivering these power solutions to customers. As you can probably imagine, LPs get really excited. If you look at the fundraising this year in infrastructure, Eric, infrastructure is having a record year in fundraising. I think there'll be over $200 billion of capital raised in infrastructure. -- if you take a look at that micro [Technical Difficulty]. Sorry about that. Technical glitch. Anyway, when you look at the total $200-plus billion of fundraising and infrastructure this year, over 50% of that is to energy transition, not data centers, not digital. It's really interesting to me that allocators are really focused on this issue of power. We really see that as a big opportunity because if we think about building large-scale campuses and if you're going to spend $11 million to $12 million per megawatt building a data center, you could end up spending $3 million to $5 million in grid independent power to that data center. We really look at this as a $0.30 to $0.50 incremental spend on power because we're taking that risk and building the data center. We know how to build our microgrid infrastructure. We know how to source LNG, best solar, wind, hydro and most importantly, use the grid. I think everyone gets obsessed a little bit, Eric, with, oh, you're either on the grid or you're off the grid. It's not that way actually. It's that if you're going to really build a scale and you look, for example, at the last 2 big projects that we've done, we do use the grid. At certain points of the day, we're putting power back into the grid. Then at certain points of the day, we're taking power from the grid. It's a fairly dynamic and fluid relationship between a microgrid and the actual grid itself. I think other people are finally figuring out what we're doing. It makes a lot of sense. We've got great industrial partners. We've got a big pipeline of projects that we're building. We're excited to talk more about it next year. I mean it will be a big part of what we're doing in 2026. As I said, 3 new strategies for next year, and that's -- digital power is one of those strategies. When you and I get together next time in person, Eric, we'll do a little bit of a digital power teaching whenever you're ready.
Eric Luebchow: That would be great. I appreciate it. I guess just one follow-up, Marc. Some of these mega deals we've seen, including the ones that Vantage did, obviously, there's a lot of kind of newer hyperscale tech like LLMs that are directly or indirectly backing some of these new builds. How do you think about the pricing, the lease terms, the credit risk of some of these newer players that are obviously not profitable today, but growing incredibly fast. There's certainly been a lot of industry chatter about some of the LLMs, their ability to pay for some of the future commitments they've made. Just curious how you guys think about it at the infrastructure level.
Marc Ganzi: Yes. Look, I think that the -- there's different types of LLMs, Eric, right? There's different types of quality of credit tenants. We look at some of the NeoCloud business models, and we've chosen not to put our equity capital to work there. We've been very selective about those types of credits. I think, again, when you've got a really substantial power bank and you've got on-demand capacity ready to go, it does allow you to be a little selective about what we can do. I think it's pretty unique, our ability to choose customers we want to work with. I do get a little worried about some of the credit profile risk around NeoCloud versus AI providers versus the hyperscalers. We've been very cautious about not overweighting one particular customer or one particular story. I think what's unique about our platform is given the scale of our platform, we're invested across all of these customers and all across these workloads so that we're not beholden to one customer or one technology or one LLM. I think that's where scale matters, Eric. We talk a lot about scale in the alternative asset management space. Well, in our specific swim lane, we have a lot of scale, and we have a lot of customers. That diversity in customers is what's really important. We've been able to demonstrate that we can lease to a lot of different logos at the same time. I think at the end of the day, having a diverse set of cash flows and a diverse set of customers and a diverse set of data centers is really where you want to put your capital today. Again, same thing we talked about, buying our stock is a proxy for that, right? You're not making one bet on one specific data center platform, you're making a bet on a global portfolio of 11 platforms, 21 gigawatts and record leasing. That, that flow-through will come through in a function of FRE, FEEUM and carried interest.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Marc Ganzi for closing comments.
Marc Ganzi: Well, thank you. I appreciate all the thoughtful questions from the analyst community. We look forward to engaging with all of you over the next couple of days to bring more clarity to the quarter. Let me finish in thanking our team. We have an incredible team. Again, I want to bring focus back to third quarter last year against third quarter this year. Specifically, I want to thank my CFO, Tom Mayrhofer, for delivering a very clean quarter and delivering on the promises that we made to you, our public investors. Again, fee revenue up 22% FRE up 43%, distributable earnings up 102% and fee equity under management, FEEUM up 19%. This was a clean quarter. This was a quarter that we -- to be candid, we felt capable of delivering, and we owe it to our investors to deliver results like this in a quarter like this. We have strong liquidity. We're allocating capital. We're raising money. We've got a great suite of new products that will come to market with here in '26, and we're well-positioned to be the leader in digital infrastructure and the power that's required to fuel it. Really looking forward to the end of this year and looking forward to catching up with all of you on the road as we hit different investor conferences. Please follow up with Severin and our team to get access to the team. We're always happy to have a conversation with you. Thank you for your continued interest and your ownership in DigitalBridge shares. We appreciate it. Have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.